Operator: Good morning, everyone. Thank you for joining today's call to discuss Mach Natural Resources First Quarter 2024 Financial and Operational Results. During this morning's call, the speakers will be making forward-looking statements that cannot be confirmed by reference to existing information, including statements regarding expectations, projections, future performance and the assumptions underlying such statements. 
 Please note, a number of factors will cause actual results to differ materially from the forward-looking statements, including the factors identified and discussed in the press release this morning and other SEC filings. For a further discussion of risks and uncertainties that could cause actual results to differ from those in such forward-looking statements, please read the company's annual report on Form 10-K, which is available on the company's website or the SEC's website. 
 Please recognize that except as required by law, they undertake no duty to update any forward-looking statements, and you should not place undue reliance on such statements. 
 They may refer to some non-GAAP financial measures in today's discussion for reconciliations from non-GAAP financial measures to the most directly comparable GAAP measures. Please reference their press release, which is available on Mach's website and their 10-Q, which is also be available on the website when filed. 
 Today's speakers are Tom Ward, CEO; and Kevin White, CFO. Tom will give an introduction and overview. Kevin will discuss Mach's financial results, and then the call will be open for questions. 
 With that, I'll turn the call over to Mr. Tom Ward. Tom? 
Tom Ward: Thank you. Welcome to Mach Resources -- Mach Natural Resources first quarter earnings update. Our last update was only 45 days ago. Therefore, my prepared comments will be brief. I start each call remembering why we are a bit different than most C corp companies. 
 Mach was formed in 2017 with 4 main goals in mind. These are: Maximizing cash distributions, making acquisitions that are accretive to our distribution, maintaining low leverage and reinvesting less than 50% of our operating cash flow. These core tenets remain the same today. 
 Everything we do is centered around our distribution. However, our distribution is variable. We set our distribution on how much cash we have on hand at the end of the quarter. Therefore, the distribution will change each quarter. The price of our 3 main commodities has the most impact on each quarter. Our hedging program reduces some price risk, and our drilling offsets most of the production declines. These also help to stabilize our distributions. 
 However, there will be volatility. 
 The $0.02 of past [ MLPs ] were high leverage and fixed distributions. We've avoided those and have consistently returned cash to our equity holders over the last 6 years. Mach is an acquisition company. We are adept at adding reserves and finding ways to manage them more efficiently than our underwriting forecast them. 
 We've been able to achieve positive results in all acquisitions. One factor is that we have a small corporate staff of 125 employees, which can oversee a large portfolio of more than 4,600 operated and 9,000 nonoperated wells that hold over 1 million acres of land. Therefore, a new acquisition fits nicely into our existing production without meaningful additional cost. 
 We also pay close attention to producing wells instead of singular focus on drilling. We take a long-term view on commodity price increases as the world becomes ever more reliant on the products we produce. We do not see a time where demand for oil, natural gas and natural gas liquids abates. As mentioned before, we're bullish on long-term natural gas demand based on LNG exports and continuous increase in [ power ] demand. 
 We believe the world will continue to need additional oil production to meet demand as the world tries to move the standard of living towards a lucky 1 billion who have achieved relative luxury in comparison. Mach currently has 2 rigs running in Oklahoma, 1 in Canadian County and 1 in Kingfisher County. We do not see this changing during the second quarter. 
 As the natural gas strip moves up, we can allow ourselves the ability to unlock some more gas from our inventory. As of today, the forward price is above $4 by the end of next year. However, if you've listened to me before, you know that I believe we will hit that number earlier. 
 Our drilling results this quarter were in line with our expectations. Our oil production was slightly lower than expected due to the downtime from the January winter storm, which totaled nearly 60,000 barrels. And then after the storm, our natural gas production was slightly higher than expected. 
 [ LOE ] came in below the low point of our guidance. The Paloma assets have dramatically lowered our [ LOE ]. We'll watch this another quarter before making any changes to guidance. Our CapEx was slightly higher than expected due to drilling more in-unit Oswego wells during the first quarter, where our working interest is higher. We continue to see efficiency gains in our drilling program with both Oswego and Paloma wells coming in under our estimates. 
 The ability to toggle from acquiring to drilling in bull markets remains one of our key attributes. Once we deliver our quarterly distribution, Mach will have purchased 1.8 billion of producing properties by using $521 million of equity and distributing back over $800 million to our unitholders while maintaining an enterprise value of $2.5 billion. We believe that puts us at the top of upstream operators on cash recovered on cash invested returns. 
 Our internal estimate for the 5-year result of [ Cherokee ] is 34%, and our 5-year return on capital is [ 19% ]. We follow these categories closely because of the importance of returning our profits to unitholders. 
 With that, I'll turn it over to Kevin. 
Kevin White: Thanks, Tom. Reported results for the first quarter of 2024 represent the first quarter we have publicly reported that show an entire quarter's activity of all the combined entities that make up Mach Natural Resources. Additionally, it is worth noting that the comparative income and cash flow statements for the first quarter of 2023 reflect only the results from [ Mach III ], the predecessor, and are not useful for direct comparison. 
 For the quarter, we averaged production of 89,000 BOE per day, which was 23% oil, 55% natural gas and 22% NGLs. Excluding the impact of our hedges, the average realized prices were $77.17 per barrel of oil, $2.35 per Mcf of gas and $26.92 per barrel of NGLs. Of the $255 million total oil and gas revenues, the relative contribution for oil was 57%, gas was 24% and NGLs contributed 19% of that revenue. 
 On the expense side, as Tom mentioned, our lease operating expense of $41 million or $5.03 per BOE came in lower than our mid-February guidance, and cash G&A of slightly over $9 million or only $1.13 per BOE is notably low compared to many other companies. 
 Total revenues, including our hedges and midstream activities, totaled $239 million, adjusted EBITDA of $169 million and $144 million of operating cash flow. And on June 10, we will distribute $71.25 million to unitholders of record on May 28. 
 And with that quick overview, Kevin, I will turn the call back to you to open the line for questions. 
Operator: [Operator Instructions] Our first question today is coming from Derrick Whitfield from Stifel. 
Derrick Whitfield: I wanted to open with your 2024 guidance. Regarding Q1, you guys were ahead of [ Street's ] expectations for both production and CapEx. Does that pull forward your efficiency and activity impact your production and CapEx trajectory for the year? Or simply place, you got near the higher end of your ranges. 
Kevin White: Yes. I think as we progress through the year, our expectation is that the CapEx will ultimately level out and stay within the guidance range. Our first quarter had some impact, honestly, of higher rig counts in addition to the Oswego drilling that Tom mentioned in his comments, where we were drilling. 
 Higher working interest that -- those higher working interest in those Oswego wells would actually impact our production volumes just as we go throughout the year. It wouldn't have yet hit volumes just with the first quarter drilling, but we do still expect to come for the full year back within the CapEx guidance range. 
Tom Ward: Yes. So yes, Derrick, our goal is, and still to maintain that, to be under 50% reinvestment rate. We plan on hitting that. Our drilling is actually going quite well with cost efficiency, the main driver. 
 Our Oswego wells now average 2 point -- under 2.5 million, 2.63 million per well in the first quarter. If you think back to 2023 first quarter, we were just over $3 million per well. Our estimate on a per well basis in our modeling is 2.7 or -- yes, 2.75. So we do anticipate that the CapEx number is coming down throughout the year. 
 We're starting out in Paloma also, the Paloma assets, beating -- I think, will beat those estimates. We've only drilled [ 1-mile ] lateral so far. So it's too early to tell. But I'm estimating $750,000 to $1 million less than our AFE on the Paloma assets also. So I think the -- even though our CapEx was a little bit over, on a year-long basis, if we kept that, that we'll be back to under 50% by the end of the year and for the year in total. 
Derrick Whitfield: Terrific. And then maybe just staying on efficiencies. Last quarter, you highlighted some efficiencies with your first well in -- with the Paloma asset. I guess if we were to think about the asset and the integration of the asset more broadly, now that it's fully in-house and you've set your operational plans, maybe could you speak to how your views on the asset have evolved and if there have been any notable earnings with the teams and/or assets? 
Tom Ward: I think the most notable thing is just our [ LOE ] continues to move down. We'll wait another quarter before we change guidance. But it seems like the Paloma assets have had a very nice effect on our overall [ LOE ]. We knew it would, coming in, but it's been better than expected. 
 And then just the -- on drilling, I think we also are seeing positive efficiency gains. We expected that also coming in, but it's been nice to see that. We've TD-ed the second well, but don't have really any numbers in yet to be able to solidify. But I think we will continue to see the estimates for drilling go down. 
 And as far as just incorporating the asset, it was a large asset by volume, but a small asset in a number of wells. So it was very easy to bring in the amount of production, and we didn't increase our staff here, only by one person from Paloma and a handful of others. I think SOX compliance probably has increased more employees than Paloma did. 
Operator: Your next question today is coming from Charles Meade from Johnson Rice. 
Charles Meade: I was hoping you could give some comments, offer some comments on how the acquisition opportunity set is evolving for you in the Mid-Con. I'll just leave there, what every... 
Tom Ward: Yes. We discussed this in early April, and it really hasn't changed. We're seeing more competition from -- I would -- we've always had competition in every acquisition since 2018, basically. But today, I think the competition in the Mid-Con is coming from different sources that have access to capital, which is -- and we're seeing prices the last 2 deals that we bid on, we weren't even close to. 
 And so I don't know if that's a trend that continues or if there are niches that we can look to or that we need to look outside of the Mid-Con if competition becomes too fierce and people want to pay a premium for undeveloped locations. We -- that doesn't fit our style. So it's probably something we would move away from if we need to. In the last few transactions that have been made in the Mid-Con, there's been substantial premiums paid for undeveloped land, and that isn't what we do. 
 So I don't know. It's probably too early to see if we can find our niche in different areas like we used -- like we have in the past. I tend to believe we will. We were able to buy Paloma not that long ago, and it fit all of the criteria we need. 
 I think that you will see us remain steadfast in staying to the 4 pillars that we have in place. And if that requires us to go fish in a different like, I guess, that's what we'd have to do. But right now, we're still reviewing opportunities and hope to make more acquisitions this year. 
Charles Meade: Got it. And Tom, correct me, the Paloma -- my recollection is you bought that really pretty close to PDP value, not much more -- and those are some really, really great locations. And so that would suggest it's actually changed quite a bit from when you announced that deal. 
Tom Ward: Yes, smaller packages make a difference also. So that's fair. We did, we bought Paloma that fit within our guidelines. So yes, you're exactly right. We didn't pay for any upside. And we bought that below PDP PV-10. 
 So yes, I'm still -- I mean, that wasn't that long ago. So things usually don't change that quickly in 90 days. So I remain optimistic. I'm just telling you what the latest is that there is new competition here. And they're -- as most competition always is, they're competitive. 
Charles Meade: Got it. And then the [ $150 million ] in cash, should we think about -- that you have on your balance sheet for -- at the end of 1Q, should we think about that as kind of dry powder for future acquisitions? Is that the most likely use of that? 
Tom Ward: Yes, I don't think so. I think that [ whatever ] we look at our cash on hand and we're distributing out every quarter, you'll see a nice -- and we've always had a lot of cash on hand, and that just -- it helps to stabilize out our distributions, and I don't see that changing. And I doubt that we would drain that to make an acquisition. 
Operator: Next question today is coming from Michael Scialla from Stephens. 
Michael Scialla: I want to see if you talk a little bit more about the Paloma assets. You said you drilled the first 2 wells. It sounded like that drilling went really well, based on the well costs you've outlined. Can you talk about when the plans are for completion there? How many wells you plan to drill for the year? Will they be a mix of Woodford and the [ Sycamore ] Mississippian zones or just how that asset is going to get developed this year? 
Tom Ward: Sure, Michael. The the amount of wells we plan to drill on Paloma acreage this year are 9. And if -- I think that's going to be a mix of Woodford and Mississippian wells but leaning more towards the 2-mile Woodford wells that we're drilling right now. Our drilling schedule is always in flux, so that's not in stone, but that's what we're preparing those locations out in the future. 
 Also, if gas prices were to move up any -- we have additional locations, not in Paloma that could -- that this rig could use to drill more higher gas quality wells. So there's -- it does change, but that's our outlook right now, as far as the Paloma. And I call them Paloma assets, that's really the deeper assets, the deeper drilling with the 1,250 horsepower rig that we have. 
Michael Scialla: And Tom, the $750,000 to $1 million below AFE, was that in reference to 2-mile Woodford or... 
Tom Ward: Yes, it actually was in reference to a 1-mile Mississippian, but I think we'll duplicate that in a 2-mile Woodford. 
Michael Scialla: Great. Okay. And then I just wanted to ask on the debt, the term loan. Kevin, can you talk about how that gets serviced? What the principal will look like there over the course of the year? 
Kevin White: Sure. That's a great question. We start amortizing the principal at -- I think it's $20.6 million per quarter starting next month. And then, that will be a quarterly amortization. So that will be a use of part of the cash that we generate on a quarterly basis. 
Operator: Thank you. Our next question today is coming from Geoff Jay from Daniel Energy Partners. 
Geoff Jay: So I just wanted to follow up on your comments about natural gas, and I talked to a number of people who are maybe a little more bearish than you are, based on the contango and the strip and some of the LNG projects being pushed kind of back into the [ right ]. I wondered if you could tell me why you're so kind of boiled up on 2025. I'm curious. 
Tom Ward: Yes. I think it's just basically to do with looking at the hub, even 3 Bcf a day of LNG demand coming on. At the same time, I sit around and read just power gen, the amount of load that is preparing to come on. If you look at [ Duke's ] release, for example, just in the Virginia to the Carolinas, it's extraordinary. If you look out over the next decade, you have between 30 to 60 gigawatts of power load coming on that can't be met by solar and wind. And I think it's -- a large part of that -- part of that goes to natural gas. 
 I think as we move into -- we'll see as the summer continues, but I see us at kind of 3 to 4 Bcf a day year-over-year tight. And so I think that gets why the excess gets wiped out fairly early this summer. And then going into the fall, we should be looking at a pretty bullish outlook on natural gas. So I would be a buyer of the strip, the '25 strip and basically the fall of '24 even. 
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments. 
Tom Ward: I think nothing else here for close and just always happy to take questions as you guys want to call in. Thanks for joining us today. 
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.